Operator: Good day, ladies and gentlemen, and welcome to the MakeMyTrip Limited Fiscal 2019 Q2 Earnings Conference Call. I would now like turn this conference call over to Mr. Jonathan Huang, Head of Investor Relations. You may begin.
Jonathan Huang: Thank you, Kevin. Greetings, and welcome everyone to MakeMyTrip Limited's fiscal 2019 second quarter earnings call. We wish to remind everyone that certain statements made on today's call are considered forward-looking statements within the meaning of the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance, and by their nature, are subject to inherent uncertainties and actual results may differ materially. Any forward-looking information related on this call speaks only as of this date, and the company undertakes no obligation to update information to reflect changed circumstances. Additional information concerning these statements are contained in the risk factors and forward-looking statements section of the company's annual report on Form 20-F, filed with the SEC on June 20, 2018. Copies of these filings are available from the SEC or from the company's Investor Relations department. On our call today are Deep Kalra, our Founder, Chairman and Group CEO; Rajesh Magow, Co-Founder and CEO India; and Mohit Kabra, our Group CFO. And now I would like to turn the call over to Deep to start off the discussion for today.
Deep Kalra: Thank you, John, and welcome everyone to our second quarter earnings call for fiscal 2019. I would like to begin by reiterating my optimism on the long-term growth opportunities ahead of us as India's leading online travel agency. India continues to be among the fastest-growing large economies globally within attractive and fast-growing leisure travel market. This Travel market contains several underpenetrated domestic online segments like hotels, alternative accommodations, bus ticketing and car hire. Furthermore, we see significant opportunities to bring online, the booking of outbound flights, international hotels and other accommodations. Additionally, India has over 0.5 billion Internet users of which about 100 million are already e-commerce users today. I'm glad that despite the recent volatility caused by global macroeconomic events, including currency fluctuations, we continue to deliver growth in line with our plan, while further reducing operating losses. This achievement was made possible by ensuring that we continue to innovate and deliver a superior experience for our users and maintain our market leadership. In the quarter, since the merger with ibibo, we've been making steady progress on returning our business towards profitability. We remain committed to keep pursuing the group's operating philosophy and long-term vision of balancing high-growth with profitability. We believe what differentiates us is the superior experience users receive from start to finish when they access our multiple brands for travel research and booking. Furthermore, that superior experience continues with real time always available post-sales and on-journey support. It is with this unwavering focus on customers’ end to end experience, which positions us well to ride the multiple growth tailwinds available. I'd also like to provide an update on our domestic aviation industry. As mentioned last quarter, the country's air carriers have been experiencing financial pressures from rising fuel cost and a soft pricing environment. However, over the last several quarters, most domestic carriers have been focused on flying with high load factors of fuller planes to service the growing demand for air travel by adding new capacity and new routes. This is helping the domestic aviation industry to continue to record healthy growth in terms of number of customers flown. We do believe that the large increase in fuel cost will eventually be passed on to consumers, and hence, expect some headwinds in the short-term going forward. That said, in the long term, the Indian travel market is poised for sustainable growth for many years to come, which all goes well for our business. Now let me move on to highlight our progress and achievements in fiscal Q2. We saw over 30% year-on-year growth in overall searches, as well as unique visitors across various platforms and brands. As a result, our customer base also grew about – by about 29% year-on-year to over $35 million transacted customers. In addition to expanding our reach, our retention programs and has evolved to become more meaningful and rewarding for our users. Our MakeMyTrip Black Loyalty program has now over 960,000 customers since its launch. MakeMyTrip Double Black, the subscription-based loyalty program has also grown to over 41,000 paying members. We are pleased with the progress we've made so far in both programs as we continue to see higher repeat transaction rate from these cohorts. Last quarter, we introduced a brand-new loyalty program for Goibibo users, the program called Go rewards aims to increase user-generated content through gamification and rewards contributors with goCash+ credits. I'm happy to share that the program is already increasing its launch. On any given day, over 40,000 tasks are completed by fans on platform as they enthusiastically contribute to achieve higher rankings and status. As an example, contributors on goCash rewards, credits, when they share pictures of the neighborhood around their hotel, or recommend top vegetarian or Indian restaurants nearby. Encouragingly high status users have demonstrated significantly higher conversion rates then lower ranked and noncontributing users validating our unique approach to this loyalty program. As we move forward, given early success is achieved, we plan on introducing more similar task to allow users to earn more credits towards future purchases, while helping to constantly improve our content and retention. In other key area of focus has been to leverage our investments in the areas of artificial intelligence, machine learning and natural language processing. These investments are focused on providing the most relevant search results during the booking process and to improving postsales experience by reducing the need for customers to call or e-mail us for their queries. MakeMyTrip's new AI-based chatbot Myra and Goibibo's chatbot Gia have already been rolled out to more than half of our Android App user base. Since launch, these chatbots have enabled us to reduce percent of customers chats requiring human interventions by over 10 percentage points. Going forward, we plan on making the bots' capabilities even greater, while making it feel more human and unrecognizable as a machine to users. And before I hand over the call to Rajesh to discuss our quarterly achievements, I would like to update you on our partnership progress with Flipkart. As previously shared, our partnership with Flipkart initially began with integrating brand MakeMyTrip's domestic flight funnel within the Flipkart app. I'm pleased to share that in the month of September, we successfully integrated our bus, international flights and domestic hotels offering more so onto the Flipkart platform. With this latest integration most of our travel services are now offered on that platform, and we believe it can become a meaningful contributor in driving online penetration within travel services in the years to come. With that I would like to turn the call over to Rajesh.
Rajesh Magow: Thanks, Deep, and hello everyone. I would like to begin with a quick summary of our accomplishments in the second quarter of fiscal 2019, which is a seasonally slow travel quarter here in India. I'm happy to report that the MakeMyTrip Group recorded gross bookings of over $1.2 billion representing year-on-year constant currency growth of nearly 27%. Adjusted revenues stood at $160 million, representing year-on-year constant currency growth of over 25%, the contribution of our hotels and packages business to total adjusted revenue stands at over 53%. During the past quarter, we locked our highest ever quarterly room nights with over 6.5 million actual room nights stayed in our standalone hotels business, a growth of nearly 22% year-over-year. We remain optimistic that we will be able to drive further growth acceleration in hotel room night stayed in the second half of the current fiscal year. In our air ticketing business, over 10 million flight segments were flown by our customers during the past quarter. The number of air ticketing segments grew by over 29% year-on-year at the same time we are seeing very healthy outbound flights growth as we shift customers online for their booking needs. While the domestic air market, demonstrated healthy growth rates in Q2, we remained cautious, of the potential for any short-term growth disruption as domestic carriers continue to operate in a high input cost and low ticket fare environment. Lastly, our bus ticketing business also witnessed very strong growth momentum with nearly 13.2 million tickets traveled for the fiscal second quarter, representing more than 53% year-on-year increase. We remain excited about this fast growing that’s worth roughly $3.5 billion and has less than 10% online penetration in the government-owned and operated bus markets across India. Now I would like to share some highlights from our strategically important online hotels business. In Q2, we continue to expand our choice to users with up to 58,000 domestic hotels, and alternative accommodations. In Q2, we upgraded many of our hotel products' features, including a revamped PWA, or progressive web app, mobile site on brand MakeMyTrip, we also launched proprietary videos, for all our premium hotel properties to enhance the content in order to help users in their research process. Lastly, work on personalization continues, as user experiences are more personalized than ever when they are locked into their app and our machines are able to deliver more ideal hotel suggestions aiding in a fully customized user experience and better conversions. In addition, overall growth continues to trend very well, for our international hotels business, where we now offer 500,000 properties outside of India. More importantly, more than half of our international hotels businesses are from directly contracted properties, and majority of the business is coming in from top cities traveled by Indians. Our localized approach to international hotels, allows us to provide an unique, but familiar stay experience for our Indian travelling abroad. For example, we offer customers access to hotels that are in close proximity to Indian food, shopping, and relevant nightlife. Lastly, we have also expanded our direct contracting with key global hotel chains including Accor, Best Western, Radisson and Marriott, further expanding choice for our customers going forward. On the Goibibo platform, we've curated and expanded the number of GoStay supply to over 10,000 properties, while vastly expanding our city coverage. In addition, our team focused on improving the overall stay experience for our customers, we have revamped, we have ramped up quality checks to ensure consistency at GoStays – GoStay properties, we also started to collect better content, including higher-quality images and more details of features and amenities offered at each property. During the quarter, we successfully contracted with the hotel supply partners, to offer even greater value for money with last minute hotel rooms available across more properties. This has helped us to drive incremental room night bookings to address the needs of last minute hotel bookers even more effectively. In the coming quarters, we plan on further innovations to deliver more value for our while working towards improving economics for this price sensitive customer segment. Now, I would like to comment on our domestic air ticketing business. In Q2, we continue to see strong growth for both domestic and outbound air bookings. During Q2, we rolled out new ways of book – to book domestic flight tickets, by partnering with airlines, we have unbundled services, and fares, allowing customers to choose and only pay for services they need for travel. We've also added the ability for desktop users, to choose seats during the booking flow, which has resulted in over 3.5x increase in prepurchase of specific seats. As for our international, outbound flight business, we launched a best price guarantee offered to help drive more online bookings and had resulted in materially improved online conversions course. Lastly, we also focused on solving a number of customer issues related to check baggage, prepayment, cancellations did change, and transit visa requirements, all of which are intended to further drive the shift from offline booking towards online and fuel our continued growth in our international outbound air ticketing business. Let me now share some of our achievements in our redBus business, during Q2. The reserved bus ticketing marketing for intercity buses in India is worth roughly $3.5 billion in bookings. While online penetration is roughly 40% in the private bus market, with redBus, the clear leader, the state government-owned and operated bus market is only about 10% penetrated online. In Q2, we have added Tamil Nadu, a state in North Bengal, regional transport corporations, onto the redBus platform. Additionally, redBus also launched daily services of Karnataka State Tourism Development Corporation through an end to end technology partnership that includes an online reservation system and yield management pricing engine. In the quarter, redBus partnered with Smartphone maker Xiaomi, to add redBus as a shortcut on the first screen of all Xiaomi Smartphones. We also partnered with Google maps to provide intercity bus transit information to users including showing timings and boarding points. The platform has also been enhanced to collect tax from users to increase the descriptive content supporting the ratings. This change helps travelers choose the right bus to suit their needs and provides operators with the data required to improve their service ratings. Lastly, we continue to make progress on customer support automation, we now support all customer care content – contact and communications over app and website back with the promise of on-time resolutions. Before handing it over to Mohit, I would also like to talk about our new offerings in line with our focus on travelers end-to-end experience, I'm pleased to share that MakeMyTrip has recently soft launched on our Android app a series of stand-alone and curated experiences for customer. The first set of experiences are available across key cities with options including amusement park visits, vacation options at local resorts, guided and walking to us and in hotel dining deals. We believe, this new product will help driving increased engagement and stickiness of the MakeMyTrip's app, and we will be adding even more experiences over time. Now let me hand it over to Mohit, who will share more details of the quarter.
Mohit Kabra: Thanks, Rajesh, and hello everyone. As I had mentioned during the last quarter's earnings call, subject to any change in market dynamics, we would like to continue driving operating efficiencies in the first half of this fiscal year, while accelerating growth in the second half. Given this backdrop, here are the key takeaways from our second quarter financial results. In the seasonally weaker second quarter, we reported gross bookings of over $1.24 billion representing a year-on-year growth of nearly 27% in constant currency terms. Largely in line with gross bookings our adjusted revenue at $160.1 million, grew year-on-year by over 25% in constant currency terms. It would be important to call out that this adjusted revenue constant currency growth of over 25% came along with significant reduction in adjusted operating losses, as well as a quarter-on-quarter growth acceleration in stand-alone hotel room nights booked online. Now, let me share highlights of our key business segments. In our holidays and – hotels and packages segment, while constant currency year-on-year growth in gross bookings was only 11.5% due to declining mix of packages. The room night growth stood higher at 19.1% along with adjusted revenue growth and constant currency being at 17.7%. During this quarter, which tends to be seasonally weak quarter for the packages business, almost 98% of the room nights mix came in from stand-alone hotel within the H&P segment. As a result, the average selling price in constant currency, for the segment dropped by about 13% compared to the previous quarter. However, this was offset partially by about 130 bps improvement in a registered revenue margins largely due to higher performance linked incentives. Big suppliers tend to offer in seasonally week periods to drive up occupancy rates. During the quarter, we launched our celebrity driven marketing campaign on GoStays, which is a certification program around the quality of stay experience, and focused on the budget segment, where customers actively look for quality – quick quality assurance signals during their booking process. The number of GoStays certifies properties offered on our platforms has also crossed a 10,000 mark and we now have GoStays properties across most business and leisure cities in the country. As a result, overall, year-on-year growth in stand-alone online hotel has accelerated from about 18% in the previous quarter to about 22% in this quarter, showing early signs of growth revival. Let me now share more details on the air ticketing business, where our growth continues to outpace the market growth. In Q2, our air ticketing segments count increased to over 10 million compared to 7.7 million in Q2 of the previous fiscal year, representing growth of over 29%. The adjusted revenue for second quarter of fiscal 2019 at $56.5 million was higher than the $47.1 million reported in the previous year’s second quarter and reflected 30.7% year-on-year growth in constant currency terms. During the quarter, the bus ticketing business also continue to grow robustly. Bus ticket units growth is stood at 53.3% with over 13.24 million bus tickets traveled during the quarter, and the business clocked around $144.1 million in gross bookings and about $12.1 million in adjusted revenue during the quarter. We continue to be excited with the growth opportunity in this business segment, which still has low online penetration, particularly in the RTC segment. During the quarter, the adjusted revenue from other business segments stood at about $6 million, majority of which was driven by facilitation fees, for travel insurance. Talking about our operating expenses in dollar terms, our marketing and promotional expenses amounted to about $133.7 million compared to an absolute spend of about $135.9 million in same quarter of last year. What is important is that as a percentage of gross bookings, these expenses have gone down from 12.7% of gross bookings in the same quarter last year to about 10.8 percentage of gross bookings in the current quarter, reflecting the increasing efficiency of spends in this account. During the current quarter, our adjusted operating losses stood at about $25 million, which is almost a $20 million reduction from the same quarter last year and over $7 million reduction from the previous reported quarter. With this, I'd like to thank you for joining this call. And open up the call for Q&A. Operator, please?
Operator: [Operator Instructions] Our first question comes from Shyam Patil with SIG.
Shyam Patil: Thanks for taking my questions. I had a few. First one, I was wondering if you could talk a little bit about your loyalty programs? And just how they are influencing repeat rates, retention rates and kind of how you guys are thinking about the ROI?
Rajesh Magow: Yes Shyam, happy to talk about that. So we'll talk about all three. MakeMyTrip Black, which is now close to one million subscriber base. We are seeing, definitely, increase repeat rates in that, I'd like to say significant right now, we are not really sharing those numbers out in public. But it's only trending in the right direction quarter-on-quarter. And therefore, we've been very happy to grow that in a big manner. With Double Black, we are actually, the growth has been more moderated, there are some changes to the program, which are coming up ahead, with which we think will get the big push. And Double Black repeat rates are actually, virtually 70% to 80% higher than actually on the Black as well. So that's – which stands to reason it's a paid program, but people who have been selected, it's an invite-only program, are those who have already been loyal users, repeat users, coming back, spending more. So on the basis of three things, recency, frequency and value. And there is a partnership now with the bank, which should see a further boost to those numbers. On Goibibo, the Go Rewards program is fairly new. Just off the blocks just announced. It's early days, but already we are seeing some good traction, like I mentioned, it's a unique program, it's more around getting more frequent users, usage of the app and people to actually help us build content get more involved. The early signs are the people who are getting more involved are definitely transacting more and there is a higher conversion rate, but that's really launched this quarter, so I think we'd like to see it for another quarter or two before we can give you better kind better kind of numbers on that one.
Shyam Patil: Great. And then next question, could you talk a little bit about, for room nights just kind of, where you guys are in terms of optimizing the mix? The business – mix of business kind of within the hotel segment? And then how you're thinking about room nights growth generally going forward?
Mohit Kabra: Yes Shyam, Mohit here. As we've been calling out over the last few quarters, we continue to see good growth, particularly in the medium to premiums pricing segments of hotels. It is largely in the budget segment of hotels, that we have been seeing growth tapering off, over the last few quarters, because we’ve been significantly reducing the promotional expenses, in those price points of hotels. This quarter, is probably the first quarter after almost like three or four quarters in the recent past, that we have seen a little bit of a revival in the budget segment as well. And therefore, you would've seen that our overall growth from standalone online hotels has slightly improved from about 18% in the previous quarter to about 22% in this quarter. Currently in terms of an overall mix, budget pretty much kind of, budget hotels pretty much account for almost 50% of the overall room night mix. So, therefore, it's an important segment for us to revive growth albeit at the right unit economics. And hopefully, we are kind of getting closer to that. And hopefully, we will see growth accelerating for the budget segment in the coming quarters, and thereby, kind of improving overall growth from standalone online hotels as a segment.
Shyam Patil: Great. And then just last question on the – just the competitive landscape. Can you just talk about kind of how you'd characterize the competitive landscape right now? Maybe compare it to, say, three months ago? And particularly from domestic players, as well as some of the larger global OTAs?
Rajesh Magow: Yes sure. Sure. So specifically with respect to, let's say, compared to last three months and all, hasn't really materially changed and sometime back maybe if you go back three quarters, quarters, probably it was more intense and the reason for that is that if you would recall, our Paytm wallet getting into hotels, few quarters ago. And that did not take off and they kind of went withdrew their offering on the hotel side. They probably have had a very soft kind of a relaunch, if you will, but nothing big that we've seen. And in terms of just overall other OTAs in the marketplace, whether those are a domestic OTAs or international OTAs, it has been normal. We haven't really seen anything exceptional, in terms of just aggressive investment in the marketplace across the segment. So I would say kind of normal competition as you would typically expect in the market, nothing unusual in the last three months.
Shyam Patil: Okay. Great. Thank you.
Operator: Our next question comes from Kevin Kopelman with Cowen and Company.
Kevin Kopelman: Hi, thanks a lot. To start off, could you just give us an update on – over the next year? What's your highest – high-level? How you're thinking about driving growth compared to cash flow? Thanks.
Rajesh Magow: Yes, sure. Just from a long-term perspective. I guess, as we were trying to call out in the script as well. In short term, we might see some headwinds specifically to the air business given the fuel rise – price rise and rupee depreciation. But we are quite optimistic actually about the long-term outlook of the travel business in India. Given the overall macro factors are fairly strong just from a long-term standpoint, specific to the travel industry. And a few of them, specifically took all out this has been general expansion of the infrastructure happening all around. Whether it is road infrastructure or it is air travel infrastructure or it is accommodation related, new hotels that are coming up, and so on. And also the fact that the passenger growth has been fairly, fairly robust, as well as domestic air travels or for that matter outbound air travel is concerned. And as a result of which, just looking at the long-term outlook of the market, most of the airlines in India have actually ordered new planes, they in India have actually ordered new planes, they have added actually capacity recently as well, but adding more in times to come. Plenty of new birds are likely to arrive over the next four, five years. So long-term outlook, we remain quite positive. On pretty much all the segments, and specifically, where the penetration of online is, relatively speaking, lower, which is like outbound market both for hotels, as well as flights. The online penetration is low, as compared to domestic flight specifically. And same is the situation with the domestic bus industry as well. Like we called out in the government sector or government-owned sector of the bus space, the penetration is just about 10%. There's plenty of headroom. So generally, just from an overall growth perspective, we stay quite positive, and we will continue to keep driving in pretty much every segment and keeping in mind as we've also called that one out, and in line with our long-term kind of philosophy as well. That we would, given our stage of life cycle in the company today and the site that we've kind of reached, while we continue to drive the growth, we also would be consciously just to driving the cost efficiencies as well. So that's the kind of balanced strategy that we expect to continue for the – in the next few years, where you will see, while growth on the underpenetrated segment continuing, along with the gross efficiencies and optimization driving through automation and various other things.
Kevin Kopelman: Okay, great. And then, one more question on bus ticketing. Can you give us more color on the development there? The latest competitive landscape and also how you see growth playing out for the next couple of quarters? Thanks.
Rajesh Magow: Sure. It’s been actually fairly robust, if you really see, I mean, since the time that we've started declaring the – more data on the segment as part of our segments reporting. You would see that the growth has been fairly robust, fairly robust, I mean, on this quarter, we grew at about 53%, even last quarter the growth was close to 50%. And this growth, like I said, given the fact that there is more headroom available, growth is likely to continue. And in terms of just competitive landscape, redBus is to give you an idea of the market share that we have in the bus segment of the online bus segment, redBus has a market share of close to about 70% of the online bus segment market, so by far the market leader in the segment and irrespective of whatever distant kind of competition that is there in the marketplace. We believe that we will continue to maintain and sustain our market with respect to competition, with respect to our market share in the – in that market. So I think overall actually, we feel quite positive in that space as well. And the growth is likely to continue there as well.
Kevin Kopelman: Great, thanks so much.
Operator: Our next question comes from Shaleen Kumar with UBS.
Shaleen Kumar: Yes hi. Thanks for the opportunity. Just two questions. One around airline. So clearly the airline bit is impressive in terms of the transaction growth of 30% definitely much ahead of the industry, so I just wanted to know what exactly is happening? And second bit on hotel and packages, actually this was a little below expectation considering that we are seeing in a market itself, we are seeing decent growth. So what exactly is happening over there as well?
Deep Kalra: Hi Shaleen this is Deep. So Shaleen on the air side of the business, you're right, the growth is healthy, much higher than market. I think fundamentally, what's happening is, the brand strength is definitely playing and getting a large chunk of the users who are already online to do more share of wallet and come back here, and we believe it's because of the experience end-to-end, like I called out. We are seeing a good repeat and our repeat rates on air are steadily improving. As you know, we don't discount on air and much discounting, I mean, people are doing some degree of discounting with cash backs, but despite that, we are able to keep growing and growing faster than market. And market share also continues to grow at a pretty healthy rate. At our best estimate, we're about a quarter between the two grands, we are about a quarter of the entire domestic flyer market, and it's fairly accurate one because you get numbers, flown numbers from DGCA every year. And of the OTA market, if we look at it, then we would be close to about 55% now on last estimates and that, again, has been growing. So we believe it's largely on the back of great product experience, which is essentially why, you really want to grow, not by only discounting. I did call out that and you're probably aware that most of the carriers right now – so results just came out for 2 carriers are not really in the best of health. Simply because the fuel cost has gone up very high, and that right now has not – that burden has not been passed on to the customers, but we can expect some of that to happen. And so I think in the near term that would be chopping us in the domestic air market. International air is very interesting, where there is a lot of headroom. Sorry, in domestic, just give you an idea, about 55%, 60% of that market, including Supply Direct has moved online. So roughly I'd say about 40-odd percent 42% would have – would be OTAs, on the average, I'd say about 15% would be Supply Direct so if we see about 57% but there's still an offline chunk, but very large online now. If you look at the international, however, we don't think that the online penetration is more than 10% right now. And so there is a lot of scope to grow and our focus has been, that it's a higher ticket item. Typically people would shop around a lot, they would try to get a bargain or they'd try to get some credit, with shorter payment cycles, to the airlines even the credit is fast going away and we are definitely looking to grow aggressively on the international air market. So you will hear more on that, definitely an underpenetrated area as we called out. On the hotel and packages side, I think the story is, again, quite different. It's an underpenetrated market. It's very hard to actually estimate the total size of the market, estimates go from 1 odd million to 2 million plus rooms depending on what you consider an accommodation that can be marketed, guest house, et cetera. But either way we are not quick at month penetration, it's probably anywhere between the 10% to 15% mark depending on what you use as the denominator and it's growing. So over there, I think in the premium space, not much discounting allowed, but as we shared last quarter, that's been a very a high focus area and there was very good growth that we've seen in the premium segment, largely led by brand MakeMyTrip. In the budget segment brand Goibibo has been actually growing quite well, as you know we've trying to do a balanced growth approach, and that's exactly what this quarter is about. So we continue to grow 20% plus growth happening, actually 18 moved to about 21%, 22%. In terms of room nights could be more, but then that comes at a cost. So I think in hotels there is still market making being done with various segments of the population. Current buyers are definitely more sophisticated, more obeying, in some cases looking for a deal, but the large chunk of the market is still buying offline and which is what we are trying to penetrate into, through different interventions. We've offline kiosk, we have had stores for that longest time, we have franchise growth also happening with stores, but we've also got temporary kiosk that is set up at high-traffic areas, which are yielding good results. So whether they are in pilgrimage spots at head ends, which are like railway stations, as well as big bus stops, getting into markets like Katra, let's say, for Vaishno Devi, we will have kiosk, we'll do the same in Seoni which is definitely helping. So we are trying to change the customer habit out there as well. And like I said they are temporary but they are habit changing for the long term. So very interesting things, I think that market is fast evolving and quarter-on-quarter you're finding more and more people looking and researching and then eventually booking their hotel option online. I hope that helps?
Shaleen Kumar: Yes, yes. That really helps. Just a follow-up on your comments. So what I was seeing that, gross booking per transaction, if I'm looking for your hotel and packages, it has kind of come down. Is there a change in strategy of bit because what we were talking from last year, we will focus more on the – less on the budget segment, but more on a mid-tier segment? But is it – are we going back on the budget segment? And second bit is – agree with you on current stress in the airline sector, has any of the airline come back to you and ask you to reduce the commission that they are paying to you or you just haven't seen or heard this thing yet?
Deep Kalra: So no, we'll take the hotel side. I will take the air side first, I think Mohit was actually calling out – sorry, on the hotel, that ASP is lower because the share in this quarter, this is a low season quarter so less holidays, so the share of standalone hotels is much higher. So that has really caused the ASP, which is lower, which actually has been made up significantly by margin increase. So that's kind of got balanced out, but the lower ASP you're seeing is largely due to mix within the H&P segment. Mohit, you want to add to that.
Mohit Kabra: Yes, yes. Absolutely that's the case. And that's what we had called on. So no other significant changes over there, also from a longer-term growth point of view, Shaleen, the idea was to kind of go soft on budget, but the idea was to kind of get the Unit Economics corrected in the budget segment before we start driving growth once again in the low price hotels as well.
Deep Kalra: And on the air question. No I think we are definitely well protected, I mean, of course, you're reading the press there is 1 carrier definitely, facing cash flow issues. But we've managed to stay, we've got our payments all protected. So, so far so good.
Operator: Ladies and gentlemen, that concludes the Q&A portion of today's conference. I would like to turn the call back over to our host.
Jonathan Huang: Thank you, everyone, for joining our conference call today. We certainly look forward to speaking with each and every one of you pretty soon. Thank you.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect and have a wonderful day.